Operator: Greetings, and welcome to the Empire State Realty Trust Fourth Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce Tom Keltner, Executive Vice President and General Counsel. Thank you. You may begin.
Tom Keltner: Good afternoon. Thank you for joining us today for Empire State Realty Trust fourth quarter 2021 earnings conference call. In addition to the press release distributed yesterday, a quarterly supplemental package with further detail on our results and our latest Investor Presentation was posted in the Investors section of the company's website at esrtreit.com. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements as defined in applicable securities laws, including those related to market conditions, property operations, capital expenditures, income, expense and proposed transactions and events. As a reminder, forward-looking statements represent management's current estimates. They are subject to risks and uncertainties, including ongoing developments regarding the COVID-19 pandemic, which may cause actual results to differ from those discussed today. Empire State Realty Trust assumes no obligation to update any forward-looking statement in the future. We encourage listeners to review the more detailed discussions related to these forward-looking statements in the company's filings with the SEC. Certain of our disclosures today are added specifically in response to the SEC's direction on special additional disclosure due to the changes in our business prompted by the COVID-19 pandemic and are unique to this instruction. We do not expect to maintain the same level of disclosure when we resume normal business operations. During today's call, we will discuss certain non-GAAP financial measures, such as FFO, modified and core FFO, NOI, cash NOI, and EBITDA, which we believe are meaningful in evaluating the company's performance. The definitions and reconciliations of these measures to the most directly comparable GAAP measures are included in the earnings release and supplemental package, each available on the company's website. Now, I will turn the call over to Tony Malkin, our Chairman, President and Chief Executive Officer.
Tony Malkin: Thanks, Tom, and good afternoon to everyone. 2022 is off to a very busy start for everyone here at ESRT. We have intense focus on the tasks at hand, maximize the benefits of our balance sheet, and excitement for the next normal as we all continue to adapt to a world where we live with COVID as an endemic, and have less and less disruption from COVID as a pandemic. May I remind everyone on the call, what I have said for nearly more than 18 months that we will see a constructive shift in the dialogue by the end of 1Q 2022 and we have seen progress towards that end. There's clear recognition that the world has changed since the onset of COVID, nearly two years ago, the path towards the next normal is not a straight line and the trend is positive. More and more examples accumulate every day is build companies recognition that work, unity matters. Learning teamwork, performance reviews, retention, promotion, and fostering a strong culture are incredibly hard, if not impossible, for most to execute entirely remotely. That said this is the next normal to which we will move out of return to the old normal. New York City's refocus of its priorities to be inclusive of the business community and the needs of its law-abiding citizens under the leadership, duly elected Mayor, Eric Adams, is refreshingly underway. Pools remain open, planes and subways are busier. There's traffic throughout the city. Hotel occupancy was up 21% year-over-year through November and hotel bookings for December were up 312% year-over-year. At the end of December just prior to the Omicron spike, foot traffic in the Garment district rebounded to 86% of pre-COVID levels as 3.2 million people traverse the streets and sidewalks around our Manhattan office portfolio. ESRT is in pole position to capitalize from the recovery and the competitive positioning of our portfolio as a beneficiary of the flight to quality is obvious. As Tom Durels will discuss we have a strong leasing quarter, we continue to see the return of activity on long-term leases as tenants contemplate their future needs, post-COVID. Unlike past variants, discussions with tenants and leases underway for their long-term office needs, continued. The deal is underway yet the seeds for the growth in our leased occupancy. We continue to attract great companies who see us as long-term partners in their real estate needs who want to grow with us. Market commentators debate about the long-term outlook of Class A and Class B office buildings and their ability to attract tenants has been erroneously oversimplified. Our redevelopment work has placed our portfolio firmly in the sights of companies needs to implement their long-term return to office plans. Best-in-class, office space and well-amenitized healthy indoor quality, energy efficient buildings centrally located near mass transit, in which employees feel safe is critical in all price ranges. We offer office space to these important attributes at rents that are accessible to the broadest population of tenants, not just those who can afford or want to pay triple digits for brand new buildings. Our properties benefit from the off-sited flight to quality trend in the market and we see it in leasing activity concluded and underway. Shifting to our observatory operations, the U.S. reopened its border to fully vaccinated international tourists on November 8th, which contributed to the accelerated recapture rate that we achieved in November and December before impacts from the Omicron variant withheld. Our visits continue to improve along with our revenue per caps and fourth quarter NOI of $10.7 million is up 67% from the previous quarter. Two-thirds of recent visitation has been driven primarily by domestically sourced retail on-site and website sales but the balance driven by a third-party vendor sales to international visitors. Omicron has been a speed bump in our hypothetical recovery rate for the first quarter. And the good news about that is that the first quarter to-date is our historically slowest period, and we already see post Omicron recovery. We continue to provide our visitors with unique, memorable, best-in-class experience and we continue to look for ways to enhance that experience that produces better Google and TripAdvisor reviews than any of our new competitors OneWorld, The Edge and the latest Shiny Penny, The Summit. Our goal is to provide best visit for our guests and to maximize revenue through our times ticketing reservation system, through which we manage visits in peak periods for immersive museum-quality exhibits. We are out of a pure volume for volumes sake business. The observatories health and safety enhancements, the top-of-the-line indoor environmental quality, including MERV 13 filters ventilation and active bipolar ionization have been successful for our visitors and our team members. Fourth quarter attendance was at approximately 40% of 2019 comparable period attendance, a continued improvement from 2020 and the prior quarter and in line with our hypothetical illustration. We registered strong November and early December visitation. Attendance for the fourth quarter was slightly impacted by Omicron. In our latest Investor Presentation, we revised the pace of our hypothetical Observatory recapture ramp-up to account for the impact of Omicron. We remind everyone that the first quarter is historically the lightest quarter for the Observatory. A quick note on competition. We believe there's a large enough market for multiple attractions to do well. We remain the only authentic iconic attraction and have demonstrated repeatedly our ability to compete and other observatories open, we are confident in our continued ability to do so. Turning to external growth, as previously announced on our business update in early January, at the end of December, we closed on the acquisition of 625 multifamily units across two Class A multifamily assets in Manhattan. This is a great transaction for our shareholders. I'm very happy with the execution from everyone involved across our company and with our new partner. Our investment team continues actively to underwrite new office retail and multifamily acquisition opportunities, where we think we can get an edge with our local knowledge, ability to spot special opportunities, and ability to solve other's problems with our flexible balance sheet. We continue to look at share buybacks and achieved a meaningful level during the fourth quarter at an attractive share price. Turning to sustainability, we are happy to share that ESRT was selected to receive a $5 million competitive grant in the first funding round of the Empire Building Challenge, a $50 million state initiative spearheaded by the New York State Energy Research and Development Authority to reduce Greenhouse gas emissions by 85% by 2050. Additionally, ESRT was selected for the 2022 Bloomberg Gender Equity Index, an index that aims to track the performance of public companies committed to transparency in gender data reporting. Our leadership and energy efficiency, sustainability, healthy buildings, and IEQ continues to set the industry standard, while we show annual improvement and differentiate our attractiveness to expanding and new tenants. Thanks to our SVP and Director of Energy Sustainability & ESG, Dana Robbins Schneider. We look forward to our second Annual Sustainability Report publication in spring 2022. ESRT has a well-honed operational skillset, flexible balance sheet, discipline track record of capital allocation and ESG leadership position that will deliver long-term shareholder value. Team works well and hard as we press forward. Now, I will turn it over to Tom Durels.
Tom Durels: Thanks, Tony, and good afternoon, everyone. In the fourth quarter we signed 34 new and renewal leases totaling approximately 375,000 square feet. That included 294,000 square feet in our Manhattan office properties, 75,000 square feet in our Greater New York metropolitan office properties, and 6,000 square feet in our retail portfolio. The weighted average lease term of 11.2 years this past quarter reflects the success of our modernized, healthy transit-oriented portfolio and our tenants long-term commitments. Major leases signed this quarter include a 168,000 square foot expansion lease with Signature Bank at 1400 Broadway. This is the second expansion by Signature Bank, who now leases 280,000 square feet across 10 full-floors on a long-term lease. Signature's expansion includes one 159,000 square feet of space that was leased to other tenants, of which 131,000 square feet was terminated during the first quarter. As part of these partial termination, we received a lease termination fees totaling approximately $12 million, which will be recognized as rental revenue over the remaining term of the respective leases which spans multiple years. The other 28,000 square feet will be relocated within our portfolio. A 17,000 square foot expansion lease with iCapital Network at One Grand Central Place this is the third expansion by iCapital, who now leases 82,000 total square feet. A 51,000 square foot new direct lease with United Rentals, the world's largest equipment rental company for space that had previously subleased at First Stamford Place in Connecticut, and a 15,000 square foot new lease with Clarins, a multinational cosmetic company at 1400 Broadway. We also signed leases for 17 prebuilt office spaces in Manhattan in the fourth quarter. Subsequent to the fourth quarter, we signed a 24,000 square foot full-floor lease with Crown Castle at 1359 Broadway. During the fourth quarter rental rates on new lease assigned at our Manhattan office properties increased by 3.9% on a cash basis compared to the prior escalator rents positively spread on our four retail leases were 7.3% and new and renewal leases across our entire portfolio increased by 1.9%. Our total portfolio occupancy was at 82.4% down 110 basis points from the prior quarter and leased percentage was 85.7%. Looking ahead into 2022 for Manhattan office, we anticipate our leased percentage will increase starting in first quarter 2022. We remain focused on driving our leased percentage and tenant retention to increase occupancy. Based on the timing of our partial termination of existing tenant leases to accommodate the signature expansion, we expect occupancy to decline slightly in first quarter 2022 and reach mid-80s by year end. Our office portfolio is fully modernized for the 21st Century and benefits from the recent flight to quality. More than ever, companies are focused on their employees' health, well-being and productivity. We were first in energy efficiency, indoor environmental quality, and amenitization, which are front of mind for most tenants who must consider how the spaces they occupy factor into their ESG and CSR goals. Our industry leadership in these areas is widely recognized by the brokerage community and are more than a decade of our work in indoor environmental quality and sustainability positions us to provide real estate solution to a wide range of prospective tenants who seek a healthy workplace environment. We offer newly built modern office space at accessible rents in central locations with convenient access to mass transit. We are at the forefront of future-proofed accessible offices in Manhattan. Building utilization experienced a dip amidst Omicron, followed by a sharp increase in the past two weeks, and currently stands at 30% for Manhattan office portfolio and 52% for our Greater New York Metropolitan office portfolio. These data passes, we see more and more companies announce their return to office date and anticipate a steady increase in utilization heading into spring. Property operating expenses in the fourth quarter were $35 million, a $3.5 million increase from the fourth quarter 2020 due to increased building utilization and gradual return to normal operation. Our property management team has done a fantastic job to reduce operating expenses, with approximately $48 million saved in 2021 compared to 2019. Looking ahead to 2022, when building utilization increases, we will see steady return to normalized operating expenses. However we expect 2022 operating expenses will remain below our annual 2019 operating expenses. Since announced, we specifically announced our multifamily acquisition in October we've seen improvement in fundamentals and mark-to-market increases compared to current in-place rents. Concession packages have been reduced and tour volume continues to be strong. Occupancy has increased to 96.4%. We have initiated our plans for upgraded community spaces in common areas and intend to enhance further property performance and replicate our comprehensive approach to sustainability. In summary, we had a solid leasing quarter, with 375,000 square feet of total leases signed, our centrally located healthy future-proofed portfolio with convenient access to mass transit is well-positioned, fully modernized and has built tenant spaces ready for lease-up. We see strong fundamentals at our multifamily properties and our industry leadership and experience in indoor environmental quality and sustainability enhances our ability to attract and retain office and multifamily tenants. Now let's turn the call over to Christina. Christina?
Christina Chiu: Thanks, Tom. For the fourth quarter we reported core FFO of $49.8 million or $0.18 per diluted share. Same-store property cash NOI if you exclude one-time lease termination fees and observatory results from the respective periods was off 4.9% from the fourth quarter of 2020. This change was primarily due to a reduction in revenues with the termination of the lease with Global Brands Group in 3Q 2021 and decreased occupancy. Switching to Observatory results, Observatory NOI was $10.7 million for the fourth quarter of 2021, a 67% increase from the third quarter of 2021. Observatory revenue for the fourth quarter increased to $17.7 million from $12.8 million in the third quarter 2021 as visitation continued to ramp-up. Observatory expenses were $6.9 million in the fourth quarter of 2021 compared to $6.4 million in the third quarter of 2021. We continue to expect run rate expenses to be approximately $6 million to $7 million per quarter until we reach 60% recapture rate and $8 million to $9 million per quarter thereafter. Turning to our balance sheet. As of December 31, 2021, the company had $1.3 billion of liquidity, which is comprised of $424 million of cash and $850 million of undrawn capacity on our revolving credit facility. Inclusive of our share of assumed debt from our recently announced acquisition, the company had net debt of $1.9 billion with a weighted average interest rate of 3.9% and a weighted average term to maturity of 7.5 years. We have a wall laddered maturity schedule with no outstanding debt maturity until November 2024. Our pro rata net debt to total market capitalization was 42.2% and net debt to adjusted EBITDA was 6.5x, which includes the assumed debt from our multifamily acquisition before we receive credit for full-year EBITDA from the asset. In the fourth quarter and through February 14, 2022, the company repurchased $41.7 million of its common stock at a weighted average price of $9.46 per share. This brings the cumulative total to $195.5 million at a weighted average price of $8.61 per share, which represents approximately 7.6% of total shares outstanding as of March 5, 2020, the date our share buyback program began. Our balance sheet flexibility provides us with the ability to engage in the repurchase of our shares, as well as evaluate opportunities to deploy capital for external growth. The recently announced multifamily transaction is immediately accretive to FFO with an initial yield on cost of approximately 4% and expected to reach a mid 5% stabilized cap rate by 2025. This acquisition expands our New York City opportunity set for recovery and future growth beyond our existing well-positioned office and retail portfolio, and iconic Empire State Building Observatory business to include multifamily which benefits from very favorable current market trends. Our investment team continues actively to pursue and underwrite investment opportunities in New York City office, retail and multifamily against the backdrop of record levels of private equity capital, wide availability of low cost financing, and lack of distressed asset pricing. As we have emphasized, we will continue to exercise prudence in our capital allocation and focus on the creation of long-term shareholder value. The company has under consideration capital recycling and allocation initiatives and in this, we take a hard look at all of our assets. As part of this review during the quarter the company incurred an $8 million non-cash impairment charge on our property at 383 Main Avenue in Norwalk, Connecticut. We stopped that service on our $30 million mortgage as of November 1, 2021, and are in discussions to transfer property ownership back to the lender. We believe this action is in the best interest of our shareholders, and allows us to avoid significant CapEx costs to lease up the property, which was 46% occupied as of December 31, 2021, a reflection of the challenging weak fundamentals of the Norwalk submarket. We would note that this action is specific to this property and the submarket where ESRT does not own any other assets, and has no bearing on the balance of ESRT's Greater New York Metropolitan area portfolio. As we look ahead, we enter 2022 with a well-positioned and flexible balance sheet, a focus on disciplined capital allocation, and continued commitment to ESG. We also look forward to benefiting from companies return to office and recovery of New York City tourism. With that, I will now turn the call back to the operator for a Q&A session. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Steve Sakwa with Evercore. Please proceed with your question.
Steve Sakwa: Thanks, good afternoon. I guess maybe first one for Tom on the leasing. I was intrigued by your comment; I think you said you were going to get to the mid-80s on an occupancy level by the end of 2022. And I was just hoping you could talk a little bit more about the signed lease not commenced offset by the rollovers and the known vacates that you have, and I guess how much sort of speculative leasing do you need to do in order to kind of hit that am I thinking about that, right, is 85% is the target up from 82.4%?
Tom Durels: Well certainly, Steve first of all, we're focused on our leased percentage right and retention of existing tenants which will drive our future occupancy we are right now our Manhattan office is 87% leased and we do expect a higher leased percentage in the first quarter. But of course, the occupancy, as I said, we expect to decline slightly just because of the timing of the move-outs to accommodate the Signature deal. But those that Signature lease we would expect it commence by year-end so that will help drive our occupancy. Look, I feel that we've got a good pipeline of overall activity leading into the first quarter; we just signed a new full-floor lease with Crown Castle at 1359 Broadway. But in Manhattan, the leased percentage in occupancy was certainly resulted from the 270 basis points decline for the Manhattan office portfolio by the GBG, a move-out we have 545,000 square feet of signed leases not yet commenced about 500,000 square feet we expect will commence by year-end of 2022. But about 330,000 square feet represent positive absorption. In other words, outdoor signed leases not yet commenced that 330,000 square feet will go against currently vacant space. And then we have modest rollover in 2022 with only about 576,000 square feet, for which if you look at Page 10 of our supplement, how much has been covered by expected renewals and such. So that's how it gives a good idea as to where we're headed. But we expect steady improvement in leased percentage occupancy maybe -- probably the first and second quarter and then improve over the second half of 2022.
Steve Sakwa: Okay, thanks. And just I guess one question on the investment activity, Christina. I understand you guys are kind of casting a wide net, but maybe could you just talk about sort of what is sort of out there today. And I guess how I guess how confident do you think you can scale the resi part of the platform over the next couple of years given sort of how low cap rates are and how quickly the Manhattan market has recovered?
Christina Chiu: Sure. Yes, so we continue to actively underwrite deals. The investment team is hard at work and our focused area is New York City office, retail and multifamily consistent with what we have messaged in the past. We're pleased with this transaction and hopefully what this demonstrates is, we are looking for opportunities where we can add value, where we are utilizing our balance sheet to help solve an issue. And that can involve real complexity, it could involve recapitalization 421a, estate planning tax issues, there are number of factors. What we've said on multifamily and scale is the intention is not for these to be orphaned assets, 625 units, it's a good start. We'd like to do more, the fundamentals are great. However, we won't force anything. We will look for the right opportunities to come along where it makes sense. And we recognize that there's a lot of capital that is interested in this sector, but it will be driven by our ability to generate shareholder value over time.
Tony Malkin: Great. I might add, Steve. Tony, here that the fact is, we look for creative ways where we can apply our capital solve people's problems, sellers, existing owners. And we really need to shy away from actively marketed properties given the capital markets today.
Operator: Thank you. Our next question is coming from the line of Jamie Feldman with Bank of America. Please proceed with your question.
Jamie Feldman: Great. Thank you. Good afternoon. I guess just going back to the percent lease comment. So it looks like -- I'm looking at Page 4 the supplemental, it looks like you were at 85.7% to end the year, and then you're saying it will dip and then get back to the mid-80s. Am I -- is that the right number to compare that to? I think this is total portfolio. Or did I -- I just want to make sure I'm following you correctly.
Tom Durels: Yes. Well, I think, Jamie, you're referring to a leased percentage as opposed to occupancy percentage. And our current portfolio is 85.7% leased, and our occupancy is 82.4%. That's the delta between those two figures represent leases that have signed but not yet commenced. So my comment about occupancy in my prepared remarks has to do with we expect occupancy to hit the mid-80s by the end of the year. But as I said before, look, we -- our number one focus here is to lease up that space and tenant retention. That's going to drive our occupancy going forward. We expect to improve leased percentage in the first quarter of 2022. So as I mentioned earlier, a slight decline in occupancy simply to reflect the move-out of space to allow for the Signature lease that will commence by year-end that will also help drive our occupancy by year-end.
Jamie Feldman: Okay, right.
Tony Malkin: And I'd add, Jamie, just keep in mind, we are maybe a little different. We aggressively -- when we see tenants do not utilize their space, we aggressively move to lease that space and get buyout money from those tenants. So there are other transactions on which we work and other transactions we have done where we will move to create space for tenants, and that may involve momentary pops in our vacancy, while we increase our leased percentage or maintain against future potential vacancy.
Jamie Feldman: Okay. That's helpful. Sorry for my confusion. So, and your $12 million termination fee, how will that flow through earnings over the next several quarters?
Christina Chiu: Jamie, so as Tom mentioned, because these are partial lease terminations, the way will be recognized is through rental revenue over the span, the remaining term of those tenants' leases which is about four or five years. So it will come through same-store cash NOI, but in a gradual pace.
Jamie Feldman: So four to five years, okay.
Christina Chiu: Yes. So it won't be anything chunky. We were just trying to be transparent on the deal economics.
Jamie Feldman: Okay. That's helpful.
Tony Malkin: Needless to say, we get the cash right away. It's just when we recognize it.
Jamie Feldman: Right. Okay. And then one of the stats you provided in the press release was that I think 17 of your 24 Manhattan leases were pre-builts, and I was just hoping to get some more color on that part. I know that's an active part of your business, but maybe talk more about the types of tenants that are going into those. Or is there any read-through in terms of what that's saying about tenant interest in terms of term, rent, the kind of space they're looking for as we come out of the pandemic?
Tom Durels: Yes. We've seen the most activity on our prebuilt is that One Grand Central Place due to its proximity to Grand Central. We're seeing interest from a variety of tenants really in all sectors: healthcare, finance, professional services, legal. It really runs the gamut. And we also have activity at -- where we have significant prebuilt inventory at 1350 Broadway and at Empire State Building. As I said before, I think that the smaller tenants were able to lead the market, work-from-home during COVID, and then they were the quickest to return to the market. So we're seeing a steady pace of activity on our pre-builts. The good news is we have about 270,000 square feet of prebuilt inventory that's been built. The money has been previously spent, and those units are ready to go and ready for lease-up. That, combined with our full amenitization of our portfolio, really hits home with these smaller users. They come through our buildings and get access to our portfolio amenities and move right in, be up and running. So I think that's where we'll continue to see some steady activity.
Jamie Feldman: Okay. So it sounds like they're smaller tenants. Like what's the average tenant size? Or maybe if you break up your leasing volume, how much of that was prebuilt in terms of square feet?
Tom Durels: Well, generally, our pre-builts are anywhere from, say, 3,500 square feet to 6,000 square feet on average. The total pre-builts that we leased during this quarter were 17 units representing about 83,000 square feet.
Jamie Feldman: Okay. Do you see the size growing? And some more -- just -- I guess what I'm asking is just we keep hearing about tenants wanting more flexibility, more enterprise-type leases.
Tom Durels: First of all, we will always accommodate tenants' growth. And in fact, our pre-book program has been a feeder to many of the tenants that have grown with us over time. Certainly, Workday is a good example, came into us on a prebuilt and expanded to a full-floor over time. Anaplan came to us on a prebuilt One Grand Central Place, eventually took a tower floor at 111. So we will always use -- look to lease to quality tenants who have the opportunity and the potential to grow with us over time. But in terms of flexibility of lease term, we really haven't seen any significant changes. As mentioned in my opening remarks, we had an 11.2-year weighted average lease term this quarter, and we're seeing tenants commit to long-term leases pre-builts. Generally, the lease term could be around three to five years on average.
Operator: Thank you. Our next questions come from the line of John Kim with BMO. Please proceed with your question.
John Kim: Thank you. Good afternoon. You guys talked a lot about flight to quality in your portfolio and taking an advantage of that trend. A lot of the trophy buildings in the market are being signed with rents exceeding 2019 levels, and I was wondering if you see that potential in your portfolio given your discussions today.
Tom Durels: Well, we're definitely seeing a flight to quality. Today, tenants are more focused than ever on modernized buildings and modernized tenant spaces; healthy buildings into our environmental quality, which we were an early leader well before COVID; and giving an access to mass transit and full suite of amenities. And that's what our portfolio provides. So we are benefiting from a flight to quality tenants looking for those attributes that have come to our portfolio, and we see that come up in discussions with our tenants on a regular basis.
Christina Chiu: Yes. And I would just add to Tom's comments. The attributes on IEQ, centrally located, near mass transit, buildings that are fully modernized, these are all really important talent attraction and retention tools. But the vast majority of companies in the City can't afford triple-digit rents, and so we think we're really filling a portion of the market that has demand, they want collaboration. They want to bring their teams together, and they want the price point to be very accessible, so it fits into their business models. So that's really what our comments relate to, which is flight to quality, accessible price point, and we think that we're solving businesses problems.
Tony Malkin: I would just add. When you look at the flight to quality and who goes where, Signature Bank is a phenomenal credit, it's a phenomenal company, and they have come to us. Crown Castle is a phenomenal credit and a phenomenal company. They have come to us. We can go through any number of different leases we have done where our IEQ, healthy buildings, energy efficiency have been the driver. Flight to quality does not necessarily mean the bright, shiny penny. Flight to quality means in your price point, at what you want to do, what's the option for which you are differentiated in your decision making. We believe we are absolutely in the catcher's position for this.
John Kim: And the results will be in higher occupancy in your portfolio as you alluded to earlier?
Tony Malkin: Higher lease percentage, which will lead to higher occupancy. And we also know that we are renting at higher prices with better credits on longer lease terms than buildings of similar vintage to ours.
John Kim: Okay. Christine, I think you mentioned the Norwalk write-down or impairment was a one-off situation, but your suburban portfolio has been a consistent underperformer versus New York. I'm looking at occupancy that was at 95% back in 2016. Today, it's probably in the low 80s, excluding Norwalk. Do you think you'll need to make a significant amount of -- or invest a significant amount of capital in these assets to get it back to where it was before? And thus you have to make a decision whether or not you want to do that?
Christina Chiu: Yes. Well, I'll make a comment, and I'll let Tom speak more on the capital. But on our point on Greater New York Metro, we are taking a hard look across all our assets, which is where is the best place to invest our capital, whether it's on CapEx, whether it's on share buybacks and whether it's on external opportunities. And that's going to be the lens at which we look, and Norwalk took a turn for the worse after the exit of GE. So that's very specific to the market. And Tom, why don't you comment a little bit on the capital for the rest of that portfolio?
Tom Durels: Yes. We recently completed upgrades of common areas and amenities that all of our properties out there. We got a little bit of work left to do at Metro Center. But for the most part, our CapEx spend on common area upgrades to -- and to -- on amenities has done -- been done. That includes a refresh of our fitness centers, dining, coffee lounge, conference centers, lobbies, and some outdoor space. So we're positioned very well. Remember, two of our assets -- or three of our assets are located right next to mass transit and CBD locations.
John Kim: So do you see a similar pickup in occupancy in your Greater New York portfolio as you do in Manhattan?
Tom Durels: Not as strong as Manhattan. I would think that -- look, we are focused on leasing our vacant space and tenant retention. United Rentals was a great example of retaining a really quality tenant. We have some other leases that we're in negotiation on now on some significant tenant retentions. We're seeing good traffic out there, and it's still too early to call in terms of a strong rebound in that market, but I'm pleased with the traffic we're seeing and the condition and the show of our properties.
Operator: Thank you. Our next question is coming from the line of Craig Mailman with KeyBanc. Please proceed with your question.
Craig Mailman: Hey, everyone. Tony, maybe just for you. In the past, you've always said when you guys do buy something, it's going to have something maybe a little bit of hair on it, where you guys can bring your expertise, setting again today to solve problems. I mean other than money, what problem did you solve at the apartments? And kind of where is the extra juice that you should get for bringing your expertise to this? It seemed like a pretty fair price for the assets.
Tony Malkin: Craig, you're absolutely completely wrong on the pricing on the asset as far as residential is concerned, and I'm happy to provide you -- we're happy to provide you with comps in the market, number one. Number two, we solved the problem of an existing partnership with an individual who wish they're an entity who wish to stay, an institution who wish to leave. And number three, it was incredibly complex and involves things that, frankly, we were in a unique position to be able to accomplish from a tax perspective, from a structure perspective. If you think that the numbers that were quoted as far as the result is indicative of what is available in broadly marketed, recently concluded transactions in the market, we can better educate you.
Craig Mailman: No, it's fair.
Christina Chiu: Yes. And I would just -- sorry, I would add one more comment on that, which is if you look a little bit at the timeline for when this deal closed and when we first announced we were going to do it, it was in a time in New York City where the fundamentals were not as clearly strongly improving. So this demonstrates we were able to see long-term into and had confidence in New York City. We know the submarket, and we were able to step in at a time to solve the issues. Whatever the issues are for a seller, we were able to move quickly and utilize our balance sheet, and got very comfortable. And as a result, we're able to go in, in the low 4 cap rate with stabilization expected in the mid-5s. And that is nowhere near where comps are trading in the market, as Tony mentioned.
Craig Mailman: Right. I guess bigger picture, right? You guys passed on 1440 Broadway to stabilize in the 5s, and you didn't think that was attractive. This stabilizes in 5s. And your cost of capital is probably 200, 300 basis points wider than it was at the time of that potential acquisition. So I'm just trying to get a sense of reconciling the relative attractiveness of the cost of capital with the going in stabilized yield versus --
Tony Malkin: Craig, I think that it would be -- obviously help for your particular line of question for us to follow-up with you and educate you better on the difference in the assets in the rent rolls, in the exposures 1440 had which were very significant to vacancy. I think that you've got just a lot of mixed information here, and we can probably spend some time with you and help you out.
Craig Mailman: Sure. That's fair. Maybe we'll do that after the call. And then just --
Christina Chiu: On that point, on cost of capital, I know what you're getting at, which is our shares are discounted. And hopefully, you and the market can appreciate while we are looking for ways to add value through external growth, and in particular, through more unique situations. At the same time, we are also engaged in the buyback of our shares, which does speak to attractive, discounted valuation where we bought back over 7.5% of our total shares outstanding. So to us, it's not exclusive. We're not rushing into one or the other. We're looking for multiple ways to drive value on behalf of our shareholders.
Craig Mailman: And, Christina, it's not necessarily that. I guess the point I'm trying to make is you guys sat on cash for about five years because you said you couldn't find anything with a yield that was appropriate. Then you ended up buying something at a similar yield to what you could have bought several years ago, and it was down on accretion and over that time period. That's my only point.
Tony Malkin: I really think we should move on to the next question, and we can have a little time for a tutorial with you and follow-up.
Craig Mailman: Sure. Could I ask a separate question?
Tony Malkin: Sure.
Craig Mailman: I was just going to ask, you guys have a couple Duane Reades and Street Retail. I'm just kind of curious with all the headlines of store closures because of the shoplifting and other issues of that sort of. I mean how is -- how have your particular tenants been weathering this? Is there any concerns that -- any of your locations had any kind of problems? Or have you guys -- your tenants have been able to kind of sidestep this issue in your locations?
Tom Durels: They're doing quite well. We're 91% leased. That says something about our portfolio. Our tenants are open. They're doing business. If you walk into Wolfgang's restaurant in the Broadway corner at 1359 Broadway on a typical weekday night, that restaurant is packed. As you know, we assisted some of our smaller local retailers, particularly in F&B to get through COVID, converting some of their base rent to percentage rent. They come out of that nicely. We're glad we did it. They provide an important and valuable service and amenity to our office tenants. I'm glad we did it. And so our tenants are doing really well. Tenants down here at 112 West 34th Street, Target, Foot Locker, Sephora, you walk in their stores there, their business is bustling.
Operator: Thank you. Our next questions come from the line of Manny Korchman with Citi. Please proceed with your question.
Michael Bilerman: Hey, good afternoon. It's Michael Bilerman here with Manny. Christina and Tony, it was helpful just to understand sort of capital allocation and using different uses for that capital that you have on the balance sheet, whether it's share buybacks or these acquisitions. But I'm wondering if you can just step back, and obviously, you referenced the fact that the shares are not trading at a level that you like, which is why you're buying 7.5% of your base back. And I know you have $400 million of cash on the balance sheet. But I guess what happens as you spend all this capacity on the next retail or multifamily or office deal or buying back another $100 million or $200 million of stock? What happens when you true-up all this capacity and your stock still trades at a 10x, 10% implied cost of equity capital? I mean how aggressive are you going to want to be to use all this capacity when you're main source of capital raise is your common equity?
Christina Chiu: Yes. So I'd say for New York City office REIT, the main source of capital raise would not be common equity, given discounted valuations. And from that lens, it's very helpful to have a flexible balance sheet. And your point is well taken, right? At some point, you keep spending. And that's why we mentioned we are actively focused on capital recycling and capital allocation initiatives, taking a hard look at the portfolio, seeing where we want to deploy our capital between capital requirement for leasing up the asset, upkeep, keeping it competitive, buying back our shares and also external opportunities. And remember that our assets, except for the latest multifamily transaction, we own 100% of our assets, and that does afford us the ability to pursue JV should we choose on lower than average levels of leverage allows us to tap into that market not to be overly aggressive on leverage but it is another source of capital as we navigate. So we feel we have good optionality, and hence, our comments on balance sheet flexibility. So we won't take it for granted and understand your point. You can't just keep going on that and the cash runs out, but we feel we're navigating patiently and prudently through this market and engaging on all those fronts.
Michael Bilerman: I'd just add from the -- go ahead, Tony.
Tony Malkin: I would just take that in addition, we have the benefit of a terrific balance sheet, and on that balance sheet are our assets. And we will also have the opportunity to recycle capital through our portfolio, and we also make decisions, and that's what came down with Merit View and Norwalk. We said, look, we have a major multimillion-dollar commitment to -- on this asset going forward in a market that's poor, better for us to put that capital elsewhere, and we decided to walk from the property.
Michael Bilerman: As you think about the portfolio and maybe tapping into it either in a joint venture or a sale process, over the years, you've been reluctant to sell anything down at the Empire State Building, which obviously is a significant amount of your value. You obviously -- Tony, your family has a tax protection agreement in some of the assets north of the city. You obviously have a number of assets on the ground leases, and your assets are different from where the market is clearing today in the sense that it's the high trophy assets, high credit leases that are fine being the most appetite from institutional investors. So really, what do you have that you could open yourself up to liquidate to start narrowing this gap between what you perceive value to be and the stock being in the single-digit range?
Tony Malkin: I think there are three factors here. One is to take things that have been made sure through our work over time and move to things where we see growth over time. Two, is 1031s are very useful in this regard, and there's all sorts of structuring that we can and will do around that using that structure, which avoids the issue of tax basis and tax protection. And three, I think there's a myopic and problematic view of what's happened and happening in transactions today. And I think that we'd be happy to share some time with you guys, as well as we will do with Craig. Just to highlight. There are a tremendous number of deals that have cleared the market that are not the bright, shiny pennies which get reported in the press and evidently have made its way to the analyst community. I mean the fact that Hudson Commons went well leased, brand new, of course, to Peloton and Lyft, we didn't participate in that. We don't believe in Peloton as a long-term credit. We didn't believe in Lyft as a long-term credit. There are many other deals that have occurred in many different property types in Manhattan and in the boroughs where we would be interested. And I think that the market is way more active than you're making it out to be and -- on every asset quality -- assets of quality and not quality of every type.
Michael Bilerman: My question, Tony, was more going to your own portfolio and some of the restrictions over time that you've talked about, talking about not wanting to sell anything in the Empire State Building, some of the ground lease assets, things like that. Maybe just stepping back, I mean your stock is trading at a 10x multiple, right, which is the lowest in the urban office space. I guess can you communicate a little bit more clearly what the company is going to do to try to lift its stock price. I don't think doing a 1031 and exchanging assets is really what the market is looking for from an active perspective. And so I think that's where some of these questions are coming from, just given where the stock is and how it hasn't reacted to your multifamily purchase. If anything, it's gone further down because of that. And so that's where I'm struggling of really trying to understand management's view of things and where the investors appear to be.
Tony Malkin: Look, first of all, I think we can go through the charts and find at least one other REIT that's trading at a worse multiple than ours, number one. And number two, I do believe that there is a fundamental reality that we need to build value over time and that the investor community within REITs really looks at today and tomorrow and not that far down the road. And we've seen that occur in any number of different situations with other REITs as well. And our goal over time is candidly to do the work that build value when people are interested in investing in New York City based office REITs, primarily office REITs, and in New York City. And that's really our focus point. And we do believe that a move from stabilized, well-redeveloped will -- into growth makes sense. And we haven't seen what can happen in assets like ours because there really aren't other assets like ours: fully modernized, high IEQ, energy efficiency. They haven't come on the market. And if we do put those on the market, we anticipate that we'll get a good reaction to them. All that said, we have demonstrated before the ability to raise additional capital, and we also have the ability on our balance sheet to borrow for additional capital. So we feel pretty comfortable in an uncomfortable time in the market in general.
Michael Bilerman: And, look, you have tapped that, right? I remember the QIA, but QIA invested at 21 -- I think it was $21 or $22 that doesn't set up the next personnels to invest the stock if that's that, but you took advantage of the market at that time. Just the second topic I want to address is you mentioned we're out of the volume business, I think is what you said on the observation deck. And I respect and I remember you and I did a special tour of all the unique things that you've been able to develop in that experience. But at the end of the day, isn't the goal to get as many bodies profitably through there as possible? So I mean as a gated admission, I would always want to have as many volumes as possible. So can you just sort of reconcile that for us a little bit?
Tony Malkin: I think when you read the transcript of the earnings, you'll hear from my comments, what I said, we're out of the volume for volume's sake business. So we don't drive volume with pricing. We have a unique asset. We like the fact that the Observatory business, in general, has been really dubbed united as an institutional asset, and we've seen this through the KKR partial acquisition of the Edge and the Summit's assist in the high loan proceeds for One Vanderbilt. We do believe that we will continue -- and our highest revenue per visitor that we've had, we will continue to provide a better experience. We rate on Google, TripAdvisor much higher than The Edge, The Summit, and OneWorld, all these new competitors. And don't forget, we also have the ability to do much higher volume just because of the way we're built, the way we're structured. We had much higher volume at a much higher quality experience then those buildings can, those observatories can just because of the way they were built, designed, and what the infrastructure is that is dedicated to them. That said, the key thing for us is we will not just do volume for volume's sake. And our volume has increased significantly. We like what we're seeing in the snapback from Omicron even today, even this week. And we feel good about that business, and we feel good about it at our higher pricing.
Michael Bilerman: Beautiful day to be -- beautiful day to be up there today.
Tony Malkin: Most importantly, what we don't want to do is to have people eight deep, seven deep during sunset at the Empire State Building, which drives high volume at that particular time and delivers people a lousy experience and bad reviews online. And the reviews online are what ultimately inform customers and clients. And ours are excellent and better than anybody else's of those new competitors.
Operator: Thank you. Our next questions come from the line of Blaine Heck with Wells Fargo. Please proceed with your questions.
Blaine Heck: Thanks. Just one for me here in the interest of time. Tom, I know this is looking out into 2023, there's a lot on your plate between now and then. But you guys included your expectations for new leases and renewals, vacates, and unknown for 2023 in the supplemental on Page 10. And it seems like there's a larger proportion of leases in that unknown bucket in 2023 than it's been the case in previous years, which is certainly to be expected given the current environment. But just wanted to ask if there are any major leases in that bucket that could swing occupancy progression one way or another in 2023.
Tom Durels: Well, Blaine, as you've seen in the past, as time goes on, those unknowns move into other categories. And that will be the case as we approach 2023, and we'll have clarity on those unknowns, and we'll only move into another category when we have strong conviction as to exactly what's going to happen. That said, we are already in discussion with tenants whose leases expire between now and the end of 2023. The largest tenants whose leases expire are at 1333 that represented about 100,000 square feet of tenants that were former subtenants of GBG. They're now going to direct lease with us, and we're already in discussion with them about their future plans.
Operator: Thank you. Our next questions come from the line of Daniel Ismail with Green Street. Please proceed with your questions.
Daniel Ismail: Great. Thank you. Maybe just a quick question for Tom. You mentioned the concession packages being produced. Are you able to quantify that change maybe relative to pre-COVID levels?
Tom Durels: I would say that our net effective rents have trended positive over the last four quarters, still a bit below pre-COVID levels. That said, our average lease cost per lease year for TIs and commissions this quarter was $9.25 a square foot, which is really right in line with our lease costs over the past three years and certainly helped by the length of lease term, which represents tenants long-term commitment to their space and to the -- to New York City. So our concession packages have been trending, again, right in line with our average lease cost per lease year over the last few years.
Daniel Ismail: Got it. Thank you. And then maybe just turning to sustainability quickly. Tony, you've been active on the Local Law 97 implementation board, and I'm curious what you're hearing from the new administration on -- excuse me, the new administration thoughts on sustainability-related logs in New York City.
Tony Malkin: Look, the Mayor Adams administration has been a brilliant move to bring Rit Aggarwala back. Rit was the original Director of the Mayor's office sustainability under Mike Bloomberg, number one. Number two, we have had very constructive engagement, both -- I've had one-on-one construction engagement with Mayor Adams and with Rit prior to and after actually taking office and prior to and after Rit's actual appointment. So in -- I think that the difficulty is I have a confidentiality agreement that I signed of the Mayor's advisory board. I just -- I would say that the engagement with the Mayor's office, the new Mayor's office is very constructive.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to Anthony Malkin, Chairman, President, and CEO for closing remarks.
Tony Malkin: Thank you very much, everybody. Great work by the team. Confidence that we continue to focus on moving the lease percentage and bringing back visitors to the Observatory and reinvesting on a constructive and accretive fashion. We look forward to the chance to meet with many of you at non-deal roadshows, conferences, and property tours in the months ahead and to share our fourth quarter results in April -- actually, excuse me, our first quarter results. And until then, thank you very much for your interest, and onward and upward.
Operator: Thank you. That does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Have a great day.